Operator: Good morning, and welcome to Entera Bio's Conference Call to discuss the Financial and Operating Results for the Year Ended December 31, 2020. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Jon Lieber, the U.S.-based CFO of Entera. Please go ahead.
Jon Lieber: Thank you, and welcome to the call. Joining me on today's call are Spiros Jamas, our CEO; Art Santora, our CMO; and Phillip Schwartz, our President of R&D. A press release announcing Entera’s financial and operating results for the year ended December 31, 2020 was issued earlier today. For those of you who have not yet seen it, it is available on the Investors section of our website, www.enterabio.com. On our call this morning, we will share with you a business update and review of our financial results, which will be followed by a question-and-answer session. Before we begin our prepared remarks, I would like to remind you that various statements we make during this call about the Company's future results of operations and financial position, our interpretation of interim data from the ongoing Phase 2 clinical trial of EB613 including biomarker data released in the first quarter of 2021, the expected timing of data readouts from the ongoing Phase 2 clinical trial of EB613, our business strategy and plans and objectives for our future operations are considered forward-looking statements within the meaning of the Federal securities laws. Our forward-looking statements are based upon current expectations that involve risks, changes in circumstances, assumptions and uncertainties. Specifically, developments related to the COVID-19 pandemic continue to evolve, and the extent to which the pandemic will impact us in the future will depend on the duration and magnitude of such impact, and on numerous factors that we may not be able to accurately predict. These risks are described more fully in our SEC filings and are available on the SEC's EDGAR system and on our website. We encourage all investors to read our SEC filings. All the information we provide in this conference call is provided only as of today and we undertake no obligation to update any forward-looking statements we make on this call on account of new information, future events or otherwise. Finally, please be advised that today's call is being recorded and webcast. I will now turn the call over to Roger Garceau.
Spiros Jamas: Thank you, Jon, and thanks everyone for joining the call this morning. I joined Entera in January 2021 based on the company's validated technology platform that enables the oral delivery of protein therapeutics and the talented and dedicated team. In the short-time, since I joined, we've hit several key milestones that have generated value for our shareholders and further confirmed my confidence in both our team, technology and believe we have the ability to create more value. We have data showing that our platform works on eight molecules of broad characteristics and size. I believe these data will support business development discussions and generate future value through strategic collaborations and partnerships. In addition, the recent rise in our share price has enabled us to strengthen our balance sheet. And I'm pleased to say that we believe our current cash resources will fund the company into the second quarter of 2022. The significant potential of Entera's technology platform to give patients a much needed oral alternative to treatments currently delivered via injection is supported by data from multiple clinical trials, including the recently announced positive three-month bone biomarker data from the ongoing Phase 2 clinical trial of EB613 in osteoporosis patients. And the data from our Phase 2a study of EB612 in hypoparathyroidism patients that was recently published in The Journal of Bone and Mineral Research. With significant momentum coming out of 2020, we are focused on leveraging the platform technology to create additional value either through proprietary products, such as EB613 and EB612 that can be developed either by Entera alone or in collaboration with a partner while applying our technology to another company's compounds such as what we are doing in our collaboration with Amgen. Each of these options potentially enables multiple partnering opportunities that can generate funding new slow, and allow the company to share in the future value of multiple de-risked assets. While Art and Phillip will go into greater detail on the clinical programs and platform, I would like to take a few minutes to provide an overview of the programs and some of our recent accomplishments. First on EB613, an orally delivered human parathyroid hormone (1-34), or PTH, positioned to be the first oral bone building, or osteoanabolic, treatment for osteoporosis patients. We recently announced that the Phase 2 trial in women with osteoporosis, or low bone mass met its primary endpoint. The complete three-month results from the trial showed a significant increase in the P1NP biomarker in the 2.5 milligram dose group after three months of treatment with a P value of less than 0.04 compared to placebo. P1NP is a biomarker that indicates the rate of new bone formation. As a reminder this Phase 2 clinical trial is a double-blind dose ranging placebo controlled study in postmenopausal female subjects with osteoporosis or low bone mineral density, or BMD. This trial has been conducted at four leading medical centers in Israel and has completed the enrollment of 161 subjects. The data comes on the heels of a number of other important milestones in 2020 for the EB613 development program. In August 2020, we announced the six-month interim bone mineral density data from the first 50% of patients in this trial. The data indicated EB613 has a meaningful and positive impact on lumbar spine BMD in a dose-dependent manner over a 0.5 to 1.5 milligram dose range and supported the earlier decision to add the 2.5 milligram dose. These data were important because increases in lumbar spine BMD have been associated with fracture reduction in patients treated with subcutaneous PTH and a change in lumbar spine BMD is now an accepted endpoint for regulatory approval of novel formulations of drugs like human PTH (1-34) that has been shown to reduce the risk of fracture. Importantly, the BMD data reported to date do not include data from any subjects in the 2.5 milligram treatment arm. We expect to report the final results from this trial including the six-month BMD data in the second quarter of 2021. In addition, in the fourth quarter of 2020, we announced the completion of the enrollment in the trial and the acceptance by the FDA of the U.S. IND for EB613. The completion of enrollment was a major milestone, given the extraordinary challenges related to the COVID pandemic and along with the IND acceptance and important step forward to moving the program towards a pivotal Phase 3 clinical trial. Assuming we continue to see positive BMD data from the EB613 Phase 2 trial and subject to a successful post end of Phase 2 meeting with the U.S. Food and Drug Administration, or FDA, we believe a Phase 3 trial could begin in 2022. We believe the value proposition of EB613 is very strong due to the fact that only a small percentage of patients with osteoporosis are actually treated with subcutaneous PTH or other injected bone building drugs due to cost, convenience and compliance challenges. The market research we conducted and reported last year points to a significant unmet need for an oral therapy that builds bone in the multi-billion dollar osteoporosis market. Turning to EB612 for hypoparathyroidism, data from a 2015 study were recently published in The Journal of Bone and Mineral Research or JBMR. Phillip will provide additional details. But in summary, EB612 when added to standard of care led to a statistically significant decline in supplemental calcium usage, the key endpoints in the hypoparathyroidism trials. We are focused on optimizing the formulation that we would intend to move forward. We have also continued to support preclinical work and our collaboration with Amgen are pleased with the progress made to-date and look forward to continuing to support the collaboration in accordance with Amgen's project plan and objectives. From a business development perspective, we have increased our efforts to leverage our technology platform and have an ongoing dialogue with several companies that are interested in exploring the use of our oral delivery platform with their injectable product candidates. We are focused on moving these conversations into formal agreements. Operationally, we have continued to carefully monitor our expenses judiciously raised cash through the use of our ATM program with Canaccord. I am pleased to say that our current cash on hand is sufficient to support our planned operations into the second quarter of 2022. I would like to now turn the call over to Dr. Art Santora, our Chief Medical Officer to discuss the Phase 2 trial of EB613.
Art Santora: Thanks Spiros. As a reminder, the Phase 2 trial was designed to evaluate the impact of different doses of EB613 on serum biomarkers of bone activity after three and six months of treatment and on DMD after six months of treatment. Bone biomarkers evaluated included P1NP, Osteocalcin and CTX. P1NP is a biomarker that indicates the rate of new bone formation. Similar to P1NP, Osteocalcin is a biomarker for bone formation by osteoblasts, the cells that build new bone. CTX is a biomarker that indicates the rate of bone resorption by osteoclasts, the cells that remove old bone. An osteoanabolic, or bone building effect, is based on the difference in bone formation and bone resorption. An increase in P1NP or Osteocalcin, for example, associated with a smaller increase or even a decrease in CTX, usually indicates an increase in bone mass. In the Phase 2 trial, subjects were initially randomized to receive either a placebo or one of three doses of EB613, 0.5, 1.0 and 1.5 milligrams. After the evaluation of the interim three months biomarker data in the first 80 subjects randomized, we amended the protocol to discontinue additional enrollment in the 0.5 and 1 milligram dose groups, and add a new higher 2.5 milligram dose group with a final 60 subjects randomized to receive either placebo, 1.5 or 2.5 milligram of EB613. Subject follow-up in the Phase 2 trial has remained strong with approximately 115 subjects having already completed their six months visits. Based on our recent analysis of the complete three months bone biomarker data, study medication, EB613 or placebo, was generally well tolerated through the treatment period. Common adverse events resembled those known to be associated with teriparatide by subcutaneous injection. There were no adverse events that were severe in intensity in any treatment group and no serious drug-related adverse events. A complete safety evaluation of the fully unblinded data will be conducted with the full six-month data analyses expected in the second quarter of 2021. Finally, demographics of subjects in this trial are generally consistent with other previously reported osteoporosis trials in postmenopausal women. As Spiros mentioned earlier, the trial met its primary endpoint with the 2.5 milligram dose group showing significant increase in the P1NP biomarker after three months of treatment, that p-value is less than 0.04 as compared to placebo. Similar to the increase in P1NP, a significant increase in Osteocalcin, another bone formation marker was also observed in the 2.5 milligram group after three months, that p-value is less than 0.01. In addition, a significant decrease in CTX was observed after three months of treatment, that p-value was less than 0.015. The decrease in CTX taken together with the increase in P1NP, Osteocalcin would indicate a potential positive impact on BMD. We look forward to sharing the final BMD data from the trial in the second quarter of 2021. As a reminder, we reported interim BMD data limited to the first 80 subjects randomized in the study in the third quarter of 2020. Based on the interim six month BMD data, EB613 generated a mean placebo-adjusted increase in lumbar spine BMD of 2.15%, that p-value was 0.08 for the 14 subjects in the 1.5 milligram treatment arm as compared to the 16 subjects in the placebo arm. The placebo-adjusted increase was comprised of a mean BMD increase of 1.44% in the 1.5 milligram treatment arm, compared to a mean decrease of 0.71% in the placebo arm. An additional analysis of BMD changes in all EB613 treatment groups showed a significant dose-dependent trend in the percentage increase in lumbar spine BMD. Increases in maintenance of BMD are widely accepted by clinicians throughout the world as indicators of an overall improvement of osteoporosis during parathyroid hormone treatment. Importantly, the previously reported BMD data did not include any subjects from the 2.5 mg dose group, which was more recently added. The change in lumbar spine BMD is the recommended Phase 3 study efficacy endpoint for a novel oral human in PTH 1-34 formulation intended to treat osteoporosis and developed using the FDA’s 505 (b)(2) regulatory pathway. A fracture endpoint trial is not required because subcutaneous PTH 1-34 generically named teriparatide for injection has been shown to reduce the risk of fracture. As expected and consistent with published data from studies of subcutaneous teriparatide and analysis of BMD data of the total femur and femoral neck did not show a significant effective treatment with EB613. I will now turn over the call to Dr. Phillip Schwartz, our President of R&D to share some updates with you on EB612 and our Amgen program.
Phillip Schwartz: Thanks very much, Art. Good morning, everyone. I would like to provide you with a brief update on EB612, our orally delivered PTH for the treatment of the orphan disease hypoparathyroidism or HypoPT. We are developing EB612 to be used as a first-line hormone therapy that would be applicable to patients with different levels of disease severity, and are excited by the recent publication of our Phase 2 data in JBMR, a leading peer reviewed journal. There’s significant unmet need in the treatment of hypoparathyroidism and we believe an oral PTH would improve compliance as well as therapeutic impact and may offer patients with hypoparathyroidism and much needed alternative to the currently approved PTH replacement therapy options, which are administered via daily injections. As a reminder, our goal is to treat patients’ acute symptoms while normalizing serum and urine calcium levels to minimize the adverse effects of long-term calcium supplementation and active vitamin D use. The recently published data demonstrated the safety and tolerability of EB612 administered four times daily for 16 weeks patients with hypoparathyroidism in the Phase 2a trial. Importantly, the study achieved its primary and secondary end points, including a reduction in calcium supplements, reductions in serum phosphate maintenance of albumin-adjusted serum calcium within the reference range and an improvement in quality of life. Specific results from the trial included a significant reduction of 42% with a p-value of 0.0001 from baseline in median calcium supplement use. It also included maintenance of median calcium levels in the bloodstream above the lower target for hypoparathyroidism patients, which is approximately 7.5 mg/dL throughout the study. And there was also a rapid decline of 23% with a p-value of 0.0003 in median serum phosphate levels two hours following the first dose that was maintained within the normal range for the duration of the study. And a notable median decrease of 21% or – to p-value of 0.07 in 24-hour urinary calcium excretion between the first and last treatment days. In this study, patients were titrated up to a maximum of 12 EB612 0.75 mg tablets a day for total use of 9 mg by the investigator, according to each subject’s calcium levels, and supplement treatment regimen. Of the 19 enrolled patients, 17 completed the trial of which 15 were per protocol. There were no drug-related serious adverse events and most of the adverse events were not considered study drug-related at all. We are continuing to conduct additional formulation work on EB612, including the identification of enhancements that we are evaluating in preclinical models. In addition, we are also working in the design of the next clinical trial for EB612, which we expect to initiate in 2022. Our collaboration with Amgen for the development of an oral anti-inflammatory agent has continued and we are pleased with the progress we have made to-date. We are continuing to support the collaboration and Amgen has completed several preclinical studies that have included the evaluation of different formulations of their drug with our platform. We also continue to focus on the development of our platform, as it relates to the evaluation of new APIs, active pharmaceutical ingredients, and believe that these efforts have the potential to generate value through either additional validation of our technology platform and/or through potential business development activities. As an example, we recently announced a new research program for an oral glucagon-like peptide-2 or oral GLP-2. This is an analog and based on our technology platform we have been able to develop an oral formulation for it. GLP-2, a peptide produced in the intestine and the central nervous system via the brainstem and hypothalamus, is known to enhance intestinal absorption, specifically the increased absorption of nutrients. The only GLP-2 analog currently on the market, teduglutide, was approved in 2012 as a once daily injection for the treatment of short bowel syndrome in the U.S. and Europe, registering global sales of $574 million in 2019. In preclinical models, Entera’s oral formulation of a GLP-2 analog has shown a comparable pharmacokinetic profile to a subcutaneous injection. We look forward to sharing additional data on our GLP-2 analog over the coming months. I’ll now turn the call over to Jon Lieber, our U.S. CFO to cover the financial results.
Jon Lieber: Thank you, Phillip. Revenues for the year ended December 31, 2020 were $365,000 as compared to $236,000 in 2019, with revenues in both years attributable to the R&D services provided to Amgen. The cost of revenues for year ended December 31, 2020 and 2019 were $209,000 and $210,000 respectively and were comprised of salaries and related expenses in connection with the R&D services provided to Amgen. Total operating expenses for the year ended December 31, 2020 were $11.3 million and included $6.4 million in research and development expenses, and $4.9 million in general and administrative expenses. Research and development expense for the year ended December 31, 2020 consisted primarily of head count related costs, external costs related to the conduct of the EB613 Phase 2 clinical trial and consulting expenses and fees related to the preparation of the EB613 IND application. General and administrative expense for the year ended December 31, 2020 was primarily made up of salary and related expenses, including share-based compensation, professional fees, D&O insurance expense and legal fees. Net comprehensive loss was $10 million or $0.55 for ordinary share diluted for the year ended December 31, 2020 compared to $10.8 million or $0.89 for ordinary share basic and diluted for the year ended December 31, 2019. As a reference point, we currently have approximately 24 million primary shares outstanding and 32 million fully diluted shares outstanding. At December 31, 2020, Entera had cash and cash equivalents of $8.6 million and in our 20F that we intend to file today, we will report approximately $15.4 million in cash and cash equivalents as of March 16, 2020. Based on current operating plans, we expect our 2021 operating loss to be between $11 million and $12 million. This is, of course, subject to the expected timing of product development programs, including EB613 and subject to any continuing impacts of COVID-19 on our operations. As a result, we currently believe our cash position will fund our operations into the second quarter of 2022. I’ll now turn the call back to Spiros for concluding remarks before we go to Q&A.
Spiros Jamas: Thanks, Jon. We're excited about the recently reported data for EB613 and EB612. We continue to believe that the market opportunity and each of these areas is substantial. The recently released three-month bone biomarker results demonstrate a clear dose response using our platform to deliver PTH orally. This is a great clinical validation. In addition, the strength of the platform and our balance sheet has enabled us to generate data for several additional molecules such as GLP-2. We have data showing that our proprietary platform works on molecules of broad characteristics and size. I believe these data will support business development discussions and generate future value through strategic collaborations and partnerships.
Operator: [Operator Instructions] Our first question comes from Jason McCarthy with Maxim Group.
Jason McCarthy: Spiros, how are you? Thanks for taking the question. Could you talk just a little bit about the importance of the ratio of P1NP and CTX and how that changes and more specifically how that compares to what happens with Forteo Prolia or any other – or Tymlos – any other facture preventing osteo drug that's out there because those ratios are critical, insightful too.
Spiros Jamas: Thanks, Jason. Yes. Hi. Yes, I'll just give a very high level and then I'll direct Phillip and then Art to give more their color respectively. Yes, so just from a – from a very high level P1NP increase correlates with a increase in bone mineral density and – relates to the anabolic effect, whereas CTX translates by – increase in CTX to a resorption of bone. So you really want to be – to have an anabolic effect, you want to have higher P1NP and – no, we're actually reducing our CTX. And so, the fact that we saw at our high dose group, the 2.5 milligram dose, we saw significant increases in P1NP, but actually a significant reduction in CTX is kind of the ideal profile that you would like to get for sort of osteoanabolic effect and then that would translate to increases in bone mineral density. And – but let me have Phillip provide some additional sort of color on this because that's a very, very important question. Thank you, Jason.
Jason McCarthy: Yes – and Phillip before – I want to tie-up, before you, as part of that question. Can you also comment on – I believe Forteo brand, CTX actually goes up. Maybe you could talk a little bit of that as well after. Thank you.
Phillip Schwartz: Sure, sure. Thanks, Jason. Yes, you're correct. Actually with Forteo or subcutaneous injected PTH (1-34), CTX goes up very, very significantly far more than any of the other drugs you've mentioned like abaloparatide or Prolia or some of the other anabolic agents that are out there specifically Evenity. And it's interesting that although we're using the same active pharmaceutical ingredient, API, as Forteo because our PK profile is somewhat different, it behaves more similar to abaloparatide and also to the PTH patch, specifically those drugs, which have a stronger impact than BMD, this can be seen in many of the papers that have been published. So their increase in BMD was actually greater than that was – what was observed with Forteo. They both have a much smaller increase in P1NP, which is the build – at the bone building marker as compared to Forteo. Yet because they have a much smaller increase in CTX, they have more of an impact on a bone mineral density and bone building. In our case, we're almost more similar even to romosozumab Evenity in the sense that not only do we have a much lower increase in CTX, but we actually have a decrease in CTX as well as a rise in P1NP. So both of those factors combined make us believe that we'll have – we could have very promising results in terms of bone mineral density. And we're very excited about that.
Jason McCarthy: And then Phil or Spiros, maybe you can remind everybody, of the clinical pathway to get to potential approval, 505 b(2) kind of a one-and-done trial and you don't need fracture, which is a huge differentiator for Entera, you can just do six month bone mineral density, and as a part of that question or your comments to that point. Can you talk a little bit about what the expectations on BMD at six months you think would be clinically meaningful enough to get 612 approved?
Phillip Schwartz: From our pre-IND meeting, go ahead, Spiros, please.
Spiros Jamas: Thanks Jason. Just first high level on the 505 b(2) regulatory pathway because yes, that's an important aspect of our development program where under the 505 b(2), we don't have to run to two Phase 3 pivotal studies, which is typical in a clinical development program. You can conduct a single pivotal study and show a comparison study to Forteo, so via single pivotal study. And the FDA has accepted bone mineral density as the clinical endpoint. So we don't – absolutely, you do not need fracture reduction as an endpoint. So those studies obviously require a lot fewer patients and the time of those studies is significantly and Phillip and then Art can provide you a color on the regulatory path and our expectation for the BMD endpoint.
Phillip Schwartz: Just add to what Spiros said. I’ll just add to it before you go. And no, that's okay. That we have in our pre-IND meeting that the FDA gave us a very explicit guidance in writing that doing one pivotal Phase 3 study with a BMD endpoint, a non-inferiority study with Forteo would be sufficient for approval. And as they gave us a very generous margin of non-inferiority, which was very helpful and just to give you an idea of what that study will likely look like. That study is likely to be a 12-month study with somewhere between 600 and 800 patients in two arms, each arm would have about 400 patients or so. One Forteo arm, one EB613, you know what I think that – Arthur has a tremendous amount of experience with clinical trials in osteoporosis could add a little bit more clarity perhaps to what that type of trial might look like and what our expectations are for the endpoint that would be necessary in order for us to achieve approval.
Jason McCarthy: Okay. Last question, just briefly, if you fellows can just kind of compare and contrast from a high level, the GLP-1 versus GLP-2 market. I know on the GLP-2 Gattex is what almost $600 million and that was in 2019. I haven't checked for this year. And then we look at on the GLP-1 side, which has been a little bit more challenging and 9 Meters is there, with an injection for GLP-1 but that market cap has gone up to near $400 million, I think just based on that one program in particular. So can you compare and contrast the opportunities here and maybe where that valuation gap between Entera and these other places is and they need to close as you kind of move forward?
Art Santora: Thanks. I know there are three different questions. Yes. So we in terms of the data that we've generated and why we picked just sort of GLP-2 – we picked GLP-2 because we when looking at the physical chemical characteristics of GLP-2 and knowledge of how our platform works, it was sort of we had a very high likelihood of success that we would see very good PK in animal models. And we conducted PK models and show that we can deliver GLP-2 orally with a very nice PK profile so very, very high – achieving high blood levels that sort of is again, first time, I think somebody has shown that with an oral GLP-2. And so while, and the orphan the currently approved GLP-2 is an orphan drug, it’s an orphan indication as you said its current annual sales, I think are expect it to be around $600 million for short bowel syndrome. And so the GLP-2s are thought to also play roles in other potential diseases. So, we see potential opportunity, actually not to even the indications beyond the short bowel syndrome. So this is you see a lot of really strong partnering interests in our GLP-2 program, we’ve entered in some discussions with potential companies are very expressed an interest and we expect to be again, updating the market on our progress there. I mean with regard to GLP-1 that that is a different peptide, but also we actually scores high on our, it fits very well with our platform, and we see a lot of opportunity to deliver an oral GLP-1 sort of orally for indications, such as obesity with chronic indications this has got a huge sort of that potential. And I think you’ll be hearing more and more news from us on additional programs, as I said, beyond GLP-2 and potentially a GLP-1.
Jason McCarthy: Great, thanks guys for those answers. Phillip, great to hear your voice by the way so well [ph].
Art Santora: Yes. Jason, this is Art Santora. I just wanted to add one thing to the comments of Spiros and Phillip about the regulatory pathway. Once we have our bone mineral density and full safety data from the ongoing Phase 2 study in Israel, we plan to summarize those data and request an end of Phase 2 meeting with the Food and Drug Administration. Given a favorable outcome of the trial, that would generally occur later in 2021. That’s the point in time where FDA would tell us what they would find acceptable as an end to – I’m sorry, as a comparison of the bone density changes without oral PTH and the approved drug product Lilly’s Forteo.
Jason McCarthy: Super, helpful. Thank you very much
Operator: [Operator Instructions] Our next question comes from Calvin Hori with Hori Capital.
Calvin Hori: Yes. Good morning. How many shares did you issue from the ATM?
Jon Lieber: So, we currently have current fully diluted share counts about 20 million – a little less than 24 million – sorry, primary share count with less than 24 million and fully diluted share count a little less than around 32 million. So, I can tell you specifically, on terms of, I don’t have the number right on the top of my head of how many shares were sold in the ATM, but that’s our current rate?
Calvin Hori: You raised 13 million. So, what price was this…
Jon Lieber: Various prices.
Calvin Hori: What?
Jon Lieber: Various prices. So, I’m happy to follow up with you. I don’t have number at the top of my head exactly how many we sold. I can just tell you exactly what we have out right now.
Calvin Hori: Okay. So 32 million fully diluted?
Jon Lieber: That’s correct.
Calvin Hori: Okay. All right. Thanks.
Operator: I’m not showing any further questions at this time. I’d like to turn the call back to Spiros for closing remarks.
Spiros Jamas: Yes. So, we entered the 2021 with significant momentum. We’ve continued to execute on our plans during the first quarter of this year. This is just the beginning of some very exciting times for Entera. Thanks to everybody for taking the time this morning to join our call. And we look forward to providing you with regular updates on our progress. Have a good day.
Operator: Ladies and gentlemen, this concludes today’s presentation. You may now disconnect. And have a wonderful day.